Operator: Good morning. Welcome to the Intercontinental Exchange First Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions.  Please note, that this event is being recorded. I’d now like to turn the conference over to Warren Gardiner, VP of Investor Relations. Go ahead.
Warren Gardiner: Good morning. ICE’s first quarter 2020 earnings release and presentation can be found in the Investors section of the ice.com. These items will be archived and our call will be available for replay.
Scott Hill: Thanks, Warren. Good morning, everyone. And thank you for joining us today. Before we begin, we want to offer our hope that you your colleagues and your families are staying safe and remain healthy, during this unprecedented time. I'll begin this morning on Slide 4, with some of the key highlights from our record first quarter results. First Quarter net revenues totaled $1.6 billion up 23% year-over-year, driven by record trading and clearing revenues of $883 million and record data services revenues of $564 million. It's worth noting that this quarter started with January yielding what at the time was the best revenue month in our history. That record was nearly equal during February. While growing uncertainty related to COVID further increased our customers demand for price discovery and risk management in March. It is our customer focus and our investments in both sales resources and product innovation that generated the high-retention rate and growth in open interest, which lays the foundation for our record performance even prior to March, and which supports our ability to continue to grow once the impacts of COVID subside.
Jeff Sprecher: Thank you, Scott, and good morning to everyone, on the call. Before I begin my remarks on Slide 7, I want to express our sincere hope that you and your families are safe and healthy. I'd also like to take a moment to thank my colleagues at ICE for the resilience and the dedication that they've exhibited over the last few months, and importantly, thank our customers, who now more than ever, put their trust in our people and our technology to manage their risk across asset classes around the world. Business continuity planning has always been paramount at ICE. Being prepared for managing risk is our business, and it's in our DNA. A number of years ago, we started building large scale remote capacity with a robust cyber overlay, so that our employees could work from home for extended periods of time. This meant equipping them with portable technologies, building secure virtual desktop environments, and being prepared to supply important equipment out of our own inventory.
Operator:  Our first question is from Rich Repetto from Piper Sandler. Go ahead.
Rich Repetto: Good morning, Jeff. Good morning, Scott. I guess my question, Jeff, is can we get your perspective or your views on the energy and the crude oil market right now, and the issues that are going on with the pricing? How do you expect Brent to price you know as the next contract expires and any color that you could give us a to educate us more on that marketplace?
Jeff Sprecher: Sure, happy to Rich. Well, first of all, WTI, West Texas Intermediate crude oil, as many of you know as crude oil delivered in pipelines at Cushing, Oklahoma on a specific day, and there's local storage there. When there are pipeline problems or storage problems or problems on a specific day, that particular price discovery can reflect those problems. And that's what people believe have happened with the negative pricing at WTI earlier this month. But, I will say that we are aware that there are investigations going on to satisfy the market, the price discovery that happened on that day at that moment and that place, is truly representative. So, we look forward to the outcome of that. Brent is slightly different, and I'll explain a little bit at a high-level and then maybe ask Ben Jackson to help me augment some of the details. But there's a lot more cushion, if you will, built into the way Brent operates. First of all, it's a global contract. And so it's really looking at global capacity, global shipping capacity, global port capacity, global storage capacity, because the oil is seaborne. And as you know, I think Rich, it is a cash settled contract that settles against an index, that is an index that ICE generates itself by looking at what is considered the physical market called the Dated Brent market. And, we look at cargoes that are exchanged hands between major oil companies, these tend to be trades of a full cargo, ship cargo or a half a ship cargo that trade around the world, as the oil companies are trying to manage the delivery out of Deepwater Derrick, shipping availability, port availability and storage around the world. Those cargoes are traded to keep that whole physical infrastructure in check and balance. And those are the cargoes that we look at and create an index. If there are anomalies in trading, we have the right to question those anomalies and either ask for more information or disregard them or adjust them. So, there's human judgment that goes into that. And lastly, the Brent index, the Brent crude oil contract, the futures contract that we trade does not deliver on a day. It is a forward looking delivery period that has more cushion in it than we have at West Texas Intermediate crude oil. So, once long short, it's more global, it's more diversified, has more buffer and has human judgment in it, all of which can help alleviate some of the near-term stress that happens compared to WTI, where you have a moment in time and local infrastructure. In my mind, Richards, why WTI has always been a more speculative trader oriented contract, because people like to try to figure out those local issues and trade around them, and people with good judgment and good information can speculate around what's going on locally. Brent is a more global and more commercially used contract, because it's more closely reflects what's happening around the world. Ben, do you have anything that you'd like to augment?
Ben Jackson: Sure, I can add a little more to that. And thanks for the question Rich. So, Jeff hit it very well around one of the core differences between the two contracts as one's global in nature, one's very local and landlocked. With WTI as Jeff said, there's well-publicized structural issues at Cushing. Infrastructure issues have happened in the past with pipeline and storage issues that create volatility in delivery. And as Jeff also said, the major difference between that and Brent is the Brent of waterborne contract, where it's much easier to low crude on the vessel and bring it anywhere in the world where there's demand and the economics makes sense. So you'll see a huge demand pool that you're servicing with the Brent contract, and you don't have those fundamental landlocked structural constraints on the contracts. The other difference has not talked about as much, and Jeff touched on this briefly, is that WTI is a spot month contract. It expires right when the delivery schedules at Cushing are being set. For example, the June contract expires on May 19, with only a couple days left of scheduling to happen on the Cushing infrastructure for deliveries. For the Brent contract, it's much more of a forward contract. So if you take that example of the June contract as well, that contract expires a full month before. And actually today is the expiration day of the Brent, June contract. So the full month between that and the contract is much less susceptible to issues that you'd see that can happen around infrastructure related issues or constraints that you'd see in a landlocked contract like WTI. The other big difference to just highlight quickly Rich is, because there was some misinformation put out there recently, around the concept of Dated Brent. And we give customers, yes, we give customers the choice of Dated Brent versus Brent to hedge. Dated Brent is a true spot month contract. So that price has cargoes all the way going up to the delivery month. Dated Brent versus Brent are two very different contracts, and there's a spread relationship that develops between those two contracts that does trade because they are very different. Dated Brent are spot contract. In that contract, we see that 85% of the open interest in that contract are professional, large commercials that are all over the delivery process that's happening in crude oil. So it's a heavily, heavily commercially oriented contract. And Brent, Dated Brent trade as a spread to one another just like WTI front month to WTI second month trade as a spread to one another. But I can say that Dated Brent, the Brent never blew out anywhere near to the degree that WTI did in the past week, where the spread between WTI front month to back month went from $58 to $59, and at that same period Dated Brent to Brent was around $5. It's these recent and past moves in WTI versus Brent, that have shown that WTI can be a riskier contract to risk manage. And that's why customers overwhelmingly select Brent to manage their risk. They also select Brent as really the basis and pricing mechanism to price all kinds of refined products, that we talk about oftentimes is one of the fastest growth areas of our business, which is our other oil complex. So these are refined products like gas oil, bunker fuels, jet fuels, gasoline, they all trade relative to Brent and they all trade in a global nature in areas around the world such as Europe, Asia, and North America and it's one of the fastest growing parts of our complex. This is why, if you look at the overall oil complex, our market share and overall oil from an open interest perspective is 64%, up from 55% just a couple of years ago. And in ADV terms, our market share is 56%, up from 45% in recent past. We're grateful that our customers are coming to us now more than ever to help manage their risk in this turbulent time.
Operator: Our next question is from Alex Kramm from UBS. Go ahead.
Alex Kramm: Good morning, everyone. Just wanted to shift gears to the data side little bit. I think you gave a decent amount of color already, but obviously, data guide unchanged. So Scott, or anybody else, would be very happy to hear a little bit more why you're so confident? And also what you've been seeing, I guess with sales teams displaced, working from home? And how you feel like that will change over the course of the year to still make your guidance? And then very quickly related to that, if you think going forward, I mean, the majority of that business is pricing analytics and fixed income. So with everything that we've seen here with everyone being displaced, I would just assume that it's going to get harder to get prices by calling dealers. So just curious, if you feel like this is actually an area of incremental demand coming out of this kind of crisis that nobody expected. Thank you.
Ben Jackson: Yes. It's a good question, Alex. Thank you. Let me start with what I don't know. I don't know exactly, when the world goes back to work, whether that's second quarter, third quarter, fourth quarter, early 2021. I don't think it'd be useful for you. I don't have an economist on staff to tell you that it could be fast or slow or anywhere in between. So, I don't have great visibility into exactly when things open up. But I have a lot of visibility into fact that give me confidence. So one of the things, I've got confidence based upon is I look at the pipeline and talk to Lynn and her sales team. And the pipeline remains really robust. And so the opportunity exists to sell into that pipeline and to generate revenue, that as we sit here today, we believe are consistent with the original data guide that we provided. I look at ASV that's up 4%. And if you do just the straight math on that ASV number, it lands you right on top of where we're guiding in the second quarter, and I think provides a firm foundation as we move into the third and fourth quarter. I listened to Lynn and our team talk about phone calls we got in the middle of the crisis from customers. We're thinking about or had moved away to one of the other competitors, and realized that the tracking error on the prices from those peers were significantly greater than the tracking error on our prices that are coming back to us. I know we were able to close a couple of key deals, but those deals didn't sign due to the work from home, which is not a loss revenue, it's just a delay, which I think can also help us in the back-half of the year. So in the very near-term, I see a lot of positives that give me confidence as we move into the back-half of the year. I think more importantly, the key thing, key message I'd like to get across is there's nothing that's happened in the last month or two or three that changed the medium to long-term prospects of this business, and our ability to generate 4% to 6% revenue growth. So, no matter what happens in the third or fourth quarter or early in the next year, this business is set up to grow well, for exactly the reason that you indicated. It is a business that provides mission critical information into the fixed income market. In fact, I've heard a number of our customers say, during the crisis price discovery in fixed income came from us. And I think that's going to be even more important as we get to the other side of this crisis. I think the demand for fixed income investment will continue to grow. I think the evolution of indices and ETFs will continue to generate demand on prices. And we're going to be there to serve it. And then the last data point that I would give you, that gives me confidence is we look back after 2000 and 2001, the IDC business grew greater than 4%. We look back after 2008, 2009, the IDC business grew greater than 4%. And that was when it was just prices. Today, its prices and reference data in fixed income and a strong network. And by the way, it's supplemented by a futures exchange business that between 2009 and 2012 also grew high-single digits coming out of the financial crisis. So, in the near-term, it's hard to call what exactly the numbers are going to be in the back-half, but I'd keep that in perspective as well. Because, even to the extent we're off a little bit we're talking about $0.02 to $0.03 a share on earnings well above $4, so it's something less than a 0.5% of earnings in the near-term. And a long-term model still positioned very well to grow 4% to 6%.
Jeff Sprecher: Alex, this is Jeff. I'll give you one interesting -- interesting to me, at least, anecdotal piece of information that surprised me. And that was that our sales people in data have targets and budgets, as you can imagine. And our people in Asia were hit with work from home very early in the quarter, a lot of dislocation in our customer base in Asia. And yet we could see they were meeting or exceeding their sales targets. And so while, the sales call itself became very, very difficult on our people, the demand became very, very strong. And between that dislocation, our sales people and our customers figured out how to do business with one another and get things done. So we very early in the quarter felt pretty good about where we were heading before the lockdowns hit Europe and the U.S. And so I feel somewhat confident that our entire market is figuring out how to adjust to this -- I'll call it new normal of working from home.
Operator: Our next question is from Dan Fannon from Jefferies. Go ahead.
Dan Fannon: Thanks. Good morning. I guess, shifting back to the energy markets. I was wondering if you could kind of discuss the health of your customer base with oil at the current prices and talk about the commercial component in particular? And then just a point of clarification, because WTI is seaborne now, and just wondering if Brent, I mean they're facing the same supply issues at WTI is in the lack of demand. So just curious, you talked about the seaborne versus cash settled in some of the differences. But with WTI being now seaborne, does that alleviate some of that delta or variance between the two contracts?
Ben Jackson: Thanks, Dan. This is Ben again. So on the latter part of your question there around WTI being seaborne, the reality is when you look in the physical market, when those barrels and when that oil hits the water, it's most often priced by a Brent, that's when it becomes Brent. So that's one of the major differences and it doesn't stop or prevent any of the issues that you see around, the infrastructure related issues around storage or pipeline capacity to get oil actually to the coast. So that's one. On the customer base itself, couple of quick comments on that. So on every earnings call, you've either heard Jeff, Scott or myself for many, many years, talk about that, since the inception of our futures business, we've really had the corporate commercial customer at the heart of our business. Those are customers that have real directional price risk. And whatever commodity is they're consuming or that they're producing in the physical markets. And what the futures markets are intended to do for them, as all of you know, is to hedge that risk if prices move against them, and to protect them in turbulent times. And we partnered with our customers very differently than others have and built out this suite. As Jeff mentioned in his prepared comments, hundreds and hundreds of oil products around the world. We have many, many different natural gas products around the world, power contracts around the world that help our customers hedge. So, we're grateful. What we can say right now is that we're grateful that our customers are coming to us now more than ever. The evidence is showing to help them manage their risk in these turbulent times. We saw open interest records in March. Open interest is the best sign of customers coming to you and showing that they're putting on positions for a period of time to manage their risks. In April, we’ve seen it grow on a year-over-year basis as well. We're seeing open interest across natural gas, across oil, continuing to build in longer dated positions, which basically means positions that aren't for necessarily expiry next month, but positions that are going expire in December of this year or 2021 or 2022. And people that are tend to put on those longer dated positions are commercials that are in fact hedging their exposure to price risk. Commercials represent about 44% of the open interest in contracts like Brent. Also our Henry Hub contract's more than double our closest peer in their benchmark products that they have. The only thing I'd say is if you look at other evidence point I'd look at, is if you look at past times of stress, so you look at times when 09/11 happened, when the financial crisis hit, when Shell oil came exploding onto the scene. Brent ADV grew every single time in the 12 month period after that crisis hit, compared to the 12 month period prior to that crisis and open interest either held or grew. Now all that said, we're mindful that every day there's real stress in the marketplace that our customers are feeling. And the fact that they're coming to us more than ever to hedge their exposure to price risk in these volatile times is what our markets were fundamentally built for. And we're going to continue to partner and help our customers through this.
Operator: Our next question is from Michael Carrier from Bank of America. Go ahead.
Michael Carrier: Hi. Good morning. Thanks for taking the question. Scott, just a question on how you're looking at expense and capital management this backdrop. So on expenses, you actually give a range, how much of the base will flux to say like a quick return  versus a longer delay, and whether that's operationally or whether that's travel and those types of items. And then thinking on capital return, do you see any shift given the current backdrop? Thanks.
Ben Jackson: So Michael, you were a little bit unclear in the question. I think what you were asking, the latter part was on capital return, which I'll touch on, and on the former part with expense management in the challenging environment. That's the question I'm going to answer. Hopefully, it's right. So, first of all, the way we're thinking about expense is it's consistent in terms of where we thought coming into the year. And the reason for that is we think it's really important to continue to invest in our business as we move through 2020. And the strong performance across our business allows us to continue to do that. It's important that we continue to invest in ETF hub.  Jeff talked about some of the milestones that we hit in that, it's important to continue to invest in building out our mortgage solutions. That's a business that when we bought it was $140 million revenue stream that now is on track to be $170 million plus. And you, I'm sure read the articles about the need for that business to automate beyond where it is today. So, we're going to continue to invest in that. We're going to continue to invest in the data sales team. We talked about growth in the European sales team and challenges in the fourth quarter. That business in Europe went from a decline in the fourth quarter to growth in the first quarter. And we continue to invest in the sales team, because when customers are ready to start taking the meetings, or as Jeff alluded to, if they want to do deals over the phone, we want to make sure that we've invested in the sales team that's necessary to deliver on that. And so our expense guidance is consistent, because we believe that this business is well-positioned to continue to grow this year and beyond. And it's important that we continue to feed the growth engine with the investments on the expense side. Now, having said that, you'll note that in our original guidance, we had $15 million to $25 million of expense efficiencies that we were counting on, and we will certainly deliver those. We absolutely do have flexibility if things get significantly worse as we move through the year. For a long time, a big part of our compensation system is paid for performance. And so to extent that the business performance starts to slow, we've got a natural break that happens on comp expense, which is half of our overall expense. But as we sit here today, Jeff alluded to, our employees did a phenomenally good job from home, delivering the markets, the risk management tools that our customers needed. And again, we're very confident in the future of this business and don't want to cut off the investments that are necessary to generate future growth. In terms of capital return, you know, we mentioned in the quarter that we spent -- our dividend grew 9% in the first quarter. We just announced our second quarter dividend, it's similar growth. That’s a dividend that's grown double digits every year since we announced it back in 2013. And in addition to kind of what I'll call the run rate $400 million of buyback, we spent $300 million in addition. And I will tell you that the $300 million was spent in our open window in largely around the disconnect that happened around the eBay leak, earlier in the quarter, where once again, we felt like the market had completely mispriced our company. And we felt it was appropriate to opportunistically repurchase shares. That window ended before the COVID crisis really hit. But as we said, we bought it about $92 a share and those shares sit around $92. As we move forward, I think you should continue to expect us to return 100% of the capital that we don't need for M&A, that extra $300 million we spent in the first quarter. We still were at our leverage target. We'll obviously continue to monitor that as we move through the year. But given the strength of our cash flows, I would anticipate you'll see our routine 400 a quarter of share buybacks continue. You'll see the dividends continue at its current levels, which is growing year-over-year. And our overall approach is not different to capital returns. Last point, I'd make on capital, because I think it's important to note that within the first quarter, not only did we spend an extra $300 million on buyback, we also spent nearly $300 million helping back to acquire Bridge2 Solution, and yet our leverage was still at 2.3 times, which is a complete testament to the strength of the cash flows of this business.
Operator: Our next question is from Brian Bedell from Deutsche Bank. Go ahead.
Brian Bedell: Just a two part question, one, just to go back on the data side and some of the -- you know thanks for the color on a lot of the anecdotes there. Are you seeing any questions about price concessions as some companies struggle to reduce costs? And then unrelated to that on the energy side, if you can just remind us they're roughly, the rough portion of users that are commercial hedgers, within your mix versus financial players on the energy side?
Jeff Sprecher: Yes. I got it. This is Jeff. On data what we're seeing is, the sale of the NYSE, U.S. equities tape is a very mature business, and not so much that there's pricing pressure. There's just consolidation I think in the way, at least, historically before this crisis, there had been ongoing consolidation in asset managers. And that really wasn't as much price as it was number of customers. But the rest of our business, we're seeing this huge demand and has really no price pressure on it, in the sense that there's a rotation away from desktop terminals, fixed terminals. As you can imagine, when you work from home, people are looking for lightweight, portable, easy to access, secure information and that's really a technology delivery issue that we are very good at, because of our investment in technology, because we're prepared to give you information in any form you want it, we've been able to move quickly to fill kind of this new need. I think we're demonstrating to a lot of people that, because we had so much capacity in our systems that on these extremely volatile days, our data was able to keep up and our analytics were able to deliver results, where we heard anecdotally that a number of our competitors that may have had lower prices or people that had moved to them for other reasons, wish that they hadn't done that. And we saw people come back to reengage with us, which was a very warming feeling for our sales teams. So, long story short, no, not a lot of price pressure. Much more about can I get the right information at the right place at the right time, and can I rely on it? And, that's what we're good at.
Scott Hill: Right. And just before Ben picks up on that question, the only other thing I would add, as I mentioned earlier is, we're not just selling prices anymore. Now with customers that need the prices and the reference data and indices, and as Jeff alluded to, the connectivity. It's a full sale solution that we have. And so, it tends not to be as much about the price of any one element, but how well we can bundle that package together to meet their needs.
Ben Jackson: And on the second part -- let me get the second part of the question that Brian had asked around mix. So in the comments that I made on the past couple of questions, I dropped in a couple of statistics there. But I think the key thing there to really frame your mind is that we are heavily commercially oriented, much more so than our closest peer. Both Brent, as well as our Henry Hub are two perfect examples. We're about 44% of the open interest is commercials. And when you do that same analysis WTI and Henry Hub at one of our peers, you're going to see that that's more than double what they have. So it's heavily commercially oriented. It's the commercial traders that we cater to and have really built our markets around. The second biggest segment of the marketplace would be swap dealers, banks that are selling structured products too and commercials. So you'll see that that is a lot of the trading activity and hedging activity that we see. I think one other interesting data point for you it's just Henry Hub alone. So, for one of the things that we've seen is with Shell oil production coming down in the U.S., well, oftentimes when Shell oil is being drilled, a byproduct of that is natural gas coming out of the ground in the U.S. And producers, you know, customers have acknowledged and seen that like gas production is starting to slow, and it's introduced some volatility into the basis markets in the U.S. But what we've seen is that customers are coming, very significantly to our basis markets as much as they ever have, where they manage 100% of their risk in the basis markets that we manage. And then secondly, they oftentimes trade not only the basis markets, but they put on longer dated Henry Hub positions, which is much more the longer dated positions, longer expiries is much more where the commercials play and manage their risk. And that has historically, since the inception of the company and starting our Henry Hub contract has been the part of the market that we have service. Because of those trends, we’ve seen Henry Hub market share in open interest terms added 10 year high right now, with 46% market share in Henry Hub. So, we’re seeing customers more than ever come to manage their exposure to price risk in our markets, which is what futures markets were built for.
Operator: Our next question is from Ken Worthington from JP Morgan. Go ahead.
Ken Worthington: Hi, thank you for taking my question. I'd love to continue the discussion on gas. The Dutch Gas business continues to do particularly well. Open interest has doubled year-over-year . What is the addressable market here, because that business continues to do exceptionally well and it's a high fee product? And in the resurgence of U.S. nat gas, again, the follow-up on your comments there. We've seen nat gas OI continued to build both in the futures and options side. Options activity got killed last year that's rebounded. And you mentioned, gas OI was at 10 year-highs. Why is that happening now? The Shell issue has been or opportunity has been going on for quite a while. And gas had sort of suffered while that business was growing, but we've seen a real resurgence. So anyway, could you further flush out your comments on the rebound we're seeing on the U.S. gas side?
Ben Jackson: Sure. Thanks, Ken. This is Ben again. So one of the things we've been watching is with this pandemic, will that impact people's transition, and in particular in Europe and Asia to cleaner fuels and will that slow it down. And what we've seen is that it hasn't. I mean, as we've engaged with all of our commercials and commercial customers, and also the fact that the price of natural gas and LNG for example is low. We're seeing that transition to cleaner fuels is still really invoke in Europe and in Asia. And that's what led to the growth that you just referenced in TTF. And we continue to see tremendous growth in our JKM contract. There still is a decent amount of that market that trades in the OTC space. So there's a lot of runway to go still and bringing more of that business to futures. And more and more customers each month, as we look at the volume that's trading the OTC market versus futures. Customers are continuing to see the benefit of trading in the futures markets. And we're seeing that continue to shift and move more and more towards the future side of the business. In terms of -- on the natural gas side, what we're seeing there is very similar to what I said in a comment that I had just made. With natural gas we're seeing, with those the Shell oil wells starting to shut in and starting to slow production, you are seeing what was a massive glut of natural gas across the U.S. that depressed prices, and really had no volatility in the natural gas market, all of a sudden introduced some real volatility. And I know from talking with a lot of our commercial customers there. They're looking at trading more than ever, further out the curve, longer dated type positions. The natural gas basis markets continuing to grow and grow nicely in open interest terms. And the complimentary to trading in the basis markets is oftentimes people trade that as a spread to Henry, and trade them in a longer dated way. And historically, that has been the area of the market that we've played in. And that's why we're seeing the growth that we have, the robust growth that we have in Henry as well as basis.
Jeff Sprecher: Ken, this is Jeff. One comment that I think you'll appreciate is, in Europe, you have the EMIR legislation, which is similar in scope to what the United States adopted after the financial crisis in our Dodd-Frank legislation. As you may know those U.S. and European legislators wanted more strength over the counter markets and move and push many market participants more towards clearing of swaps and derivatives positions. In Europe, there was a carve out that the utility business, if you will, and utilities did not have to clear OTC positions, they didn't have to margin each other. And so, to a certain degree, when Ben says the over the counter market is active in Europe, it's partly, because the futures market has to really earn its way, the trust of the market, because people do have to post margin in the futures business. So, for many, it can be more expensive. The reality is your counterparty is the clearinghouse which has a lot of transparency and safeguards around it regulatory oversight, as opposed to bilateral deals where you have less knowledge potentially of your counterparty. In times of stress like this, people pay attention to their counterparties. And so we again see this as another opportunity. We saw a similar kind of outcome after Enron's collapse, after the financial crisis collapse in 2008, 2009. And I suspect that you will us working hard to convince customers that we're a better -- European customers that we're a better place for them to keep their positions. So, there is opportunity always in times of change.
Operator: Our next question is from Alex Blostein from Goldman Sachs. Go ahead.
Alex Blostein: Hey, good morning, everyone. Thanks for taking the question. I wanted to chat about your credit business for a second. So, I saw a couple days ago, you guys launched ICE-Select to consolidate access to a variety of liquidity platforms, obviously you guys purchased over the years. Can you talk a little bit about how that integration process is going? How are you guys marketing that to clients? Maybe give us an updated sense of what sort of the credit trading revenue for that whole business looks like. And whether or not this is a this is a point in time for ICE where we could see a more material acceleration and credit trading revenue? Thanks.
Ben Jackson: Thanks, Alex. It's Ben. On the latter point around revenue, I think the way to think about our platforms and I've said this on our earnings call a couple of calls ago, is that the performance in terms of revenue that you'll see will be still very similar to what you'd see in the ATS volumes, that are reported from the consolidated tapes, less than 250, because the execution venues historically have been retail oriented. And where we've been focused is on building out our network and getting established, and getting as many touch points as we can into the institutional trading space to really start to penetrate that market. So, let me let me hit the first part of your question then. Our strategy has been to help industry participants, solve real strains in that secondary market, secondary trading market of just sourcing liquidity for bonds. It's been very difficult, especially in times of stress, and we saw this in the last couple of months to procure bonds, individual bonds, because it's still mostly analog, still a lot done heavily over the phone. So, our strategy has been to pull together our pricing or analytics capabilities and our execution technologies to create new innovations. And the first innovation, which we've talked about many times on this call is ETF Hub. And Jeff gave some statistics in his in his commentary. But we launched that platform with equities in the beginning of Q4 last year, fixed income in late Q4. And we've already had in a short period of time $200 billion in notional trade on that platform. In March alone, that accelerated to $87 billion. And out of that $87 billion, $63 billion of it was fixed income. When you think about $63 billion in fixed income in a month, in primary trading, that's a pretty good starting place of the market that trades electronically and on the phone. In the secondary market, where people are going to procure the bonds to gather the basket, and then they go to our primary trading offering to go ahead and swap that basket for a particular ETF share. So, we're seeing nice growth in the primary trading space. Jeff also mentioned that we have a new innovation that it just came out, with the ability to customize the basket of securities that are swapped for an ETF share. We believe this is important fundamental building block for us to further grow our community of APs and issuers that are on the platform. In parallel to that, so you saw the announcement yesterday that you referenced. So, we're very happy that with the announcement we were able to make yesterday, because what that in fact is, it's for the first time we've pulled together all of the liquidity on our various venues. So, acquisitions like TMC, BondPoint, and Creditex, we pull all that liquidity into one easy to use portal for customers to access. We've also combined the multiple protocols that we have. So everything from RFQ to auctions to click to trade, all into one interface. And last but not least, we've added on our institutional analytics as part of our data services business that serves the vast majority of the institutional investment community, with tools like best execution, and our real time pricing service called CEP. So now our customer can access in one portal a deep set of liquidity. You have choice of all of these different protocols. And you have institutional analytics to tell you what's the quality of my execution that I would get in these electronic liquidity pools. So where this starts to come together now, what our vision has been is that, between the primary trading order flow, so that $63 billion that I had mentioned, that we did in March, and our fully integrated businesses across ICE Data Services, as well as our ICE Bonds businesses through the ICE-Select portal that we announced yesterday, that now positions us for the first time to really compete for institutional flow that has traditionally done either in electronic form or still predominantly way over the phone for the first time. And because we're now in that position in the second-half of this year is when we're going to start publishing for all of you relevant metrics, the development of our network on the hub, as well as the development of our execution venues as they continue to mature.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back to Jeff Sprecher for closing remarks.
Jeff Sprecher: Thank you, Kate. Well, we look forward to speaking to you about the company's current quarter on our next call. And I hope that in the meantime, that you and your loved one stay safe and stay very positive about the opportunities that lie ahead for all of us. And with that, I hope you have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.